Operator: Good morning and thank you for joining Lincoln Financial Group's Second Quarter 2018 Earnings Conference Call. At this time, all lines are in a listen-only mode. Later we will announce the opportunity for questions and instructions will be given at that time. Now, I would like to turn the conference over to Senior Vice President of Investors Relations, Chris Giovanni. Please go ahead, sir.
Christopher A. Giovanni - Lincoln National Corp.: Thank you, Christie. Good morning, and welcome to Lincoln Financial's second quarter earnings call. Before we begin, I have an important reminder. Any comments made during the call regarding future expectations, trends in market conditions, including comments about sales and deposits, expenses, income from operations, share repurchases, and liquidity and capital resources are forward-looking statements under the Private Securities Litigation Reform Act of 1995. These forward-looking statements involve risks and uncertainties that could cause actual results to differ materially from current expectations. These risks and uncertainties are described in the cautionary statement disclosures in our earnings release issued yesterday and our reports on Forms 8-K and 10-Q filed with the SEC. We appreciate your participation today and invite you to visit Lincoln's website, www.lincolnfinancial.com, where you can find our press release and statistical supplement, which include a full reconciliation of the non-GAAP measures used in the call, including adjusted income from operations and return on equity to their most comparable GAAP measures. I would note, we have also included a slide presentation for today's call, which is included on our website. Presenting on today's call are Dennis Glass, President and Chief Executive Officer; and Randy Freitag, Chief Financial Officer and Head of Individual Life. After their prepared remarks, we will move to the question-and-answer portion of the call. I would now like to turn the call over to Dennis.
Dennis R. Glass - Lincoln National Corp.: Thank you, Chris, and good morning, everyone. Second quarter results were very solid, as all four businesses delivered revenue growth and double-digit increases in earnings. Adjusted operating earnings per share were up 9%, which is strong given variable investment income was below our average run rate in the quarter, while the prior-year quarter was above. But normalizing for this variability, adjusted earnings per share was up 19%. Other key shareholder metrics were also positive with book value per share up 8% and return on equity, excluding AOCI, over 13%. This morning, we're going to handle our prepared remarks a little differently. I'm going to focus my comments on the status of several important strategic initiatives, as well as address some topics that are creating a bit of noise in the marketplace. There are a few accompanying slides posted on our website that cover most of these issues. Randy will then speak to second quarter results in greater detail. Let me begin by describing our actions to restore annuity sales and return to positive net flows. We continue to make significant progress, as total annuity sales accelerated in the second quarter, up 50% over the prior-year quarter to $3 billion, and net outflows improved by nearly $0.5 billion sequentially to $126 million. This growth was driven by management actions and improvement in industry trends. In addition to stronger sales, VA new business returns also increased. The overall annuity portfolio generated a ROE of 22% in the quarter. As I noted, broader industry fundamentals continued to improve. LIMRA has forecast an increase in annuity sales of 5% to 10% this year and currently anticipates further growth for the industry in 2019. This forecast is up from its prior outlook, citing benefits of higher interest rates and improved regulatory conditions, and marks the first time LIMRA is expecting growth since 2014. It is also worth highlighting that this quarter we helped launch the Alliance for Lifetime Income, which brings together 24 financial services companies and leading retirement advocates. All the members are making a significant financial investment to support a national education and advertising campaign on retirement income planning and how annuities can fit into consumers' financial plans. With investable assets expected to more than double to $91 trillion by 2030, there's a significant long-term growth opportunity for annuities and the industry, combined with the Alliance, can help advisors and consumers understand the unrivaled benefits of protected lifetime income. Now, turning to management actions. Our strategy of expanding the product portfolio and distribution continues to show meaningful progress. This quarter, new products and expanded distribution drove 28% of annuity sales. Variable annuity sales increased 30% compared to the prior-year quarter. This quarter's sales strength was broad-based, with growth across all distribution channels and both qualified and non-qualified markets. Our guaranteed sales increased 49% and represented half of total annuity sales. VAs with risk-managed funds remain the largest contributor to annuity sales, while newer products which provide more investment flexibility and payout options are enabling us to reach more customers and advisors and, at the same time, diversify our sales mix. Late in the second quarter, we launched an indexed variable annuity, Lincoln Level Advantage, which is a new product category for Lincoln and a fast-growing segment of the annuity marketplace. We are encouraged by the product's early success and we'll be adding more distribution partners over the next year. Fixed annuity sales more than doubled to almost $900 million, with half of the sales generated from new products and expanded distribution. We are now selling through more banks and broker dealers, and have also begun to partner with a few independent marketing organizations, which is a new annuity distribution channel for Lincoln. As you know, we are also leveraging reinsurance to enhance our competitive position. Bottom line, we are clearly benefiting from an improved industry backdrop, our multi-channel distribution model, industry-leading shelf space, and a broader set of consumer solutions, which, when combined, gives me a lot of confidence in our ability to further increase sales and return to positive flows by the end of this year. Turning to the Liberty acquisition and progress on integration. We intended Liberty to immediately increase our scale in the group benefits business, further broaden the customer base and distribution access, and expand our capabilities. These benefits were already evident during the second quarter. Our results were strong, with earnings of $45 million and a 5.3% after-tax margin. We experienced favorable risk results on both the Lincoln and Liberty blocks of business, and solid premium growth, driven by good sales and stable persistency. We expect premiums in the third quarter to be approximately $1 billion, which factors in a full three months of Liberty contributions. This quarterly run rate is ahead of our initial expectations, as the level of rate increases and retention are better than we initially projected. As a result, we remain confident in our repricing program, which Liberty began last year. Integration efforts are broad-based and include aligning organizational structures, maintaining and growing distribution relationships, and rationalizing various technology and claim systems. We continue to closely manage integration cost and narrow in on potential expense savings. While it is still too early to provide specific details, we see the potential for upside to our $100 million expense-save target. From an enterprise perspective, the addition of Liberty Group business will get us to our target of approximately one-third of earnings coming from insurance risks. As you know, we have also been shifting more of our sales towards products without long-term guarantees. Over the last five years, 72% of new business was from products without long-term guarantees. These combined actions have tilted the risk profile of our business in a positive direction and is expected to reduce our beta over time. It's important to note that while we are nearing our target business mix within our capital market-sensitive businesses, we also have some beneficial offsets that help to contribute a steady source of earnings and can support EPS growth. For instance, over the past five years, our EPS growth rate has benefited 2% from the net impact of capital markets, something we expect can continue over time. We believe this is helpful to recognize, knowing interest rate levels and equity market growth rates change over time. To highlight these points, and as you can see on page 4 of the slide deck I referenced, last year 69% of our earnings came from the combination of fees on assets under management and investment spread. This is consistent with several years ago. However, the underlying mix has reversed. This mix shift has been driven by tailwinds from the equity bull market, combined with low interest rate headwinds. Notably, this combination has dampened earnings volatility and still produced a net earnings benefit of 2% within our total EPS growth rate of 12% over the past five years. Now, as you can see on page 5, as we look out three years, we are less reliant on robust equity market growth to generate a similar earnings benefit from capital markets. This is driven by the fact that interest rates are higher, enabling spread compression to abate sooner than expected. For example, if the 10-year treasury rate averages 3% over the next three years, we will add 1% to our consolidated earnings growth rate. This compares to the negative 3-percentage-point headwind to consolidated earnings growth over the last five years. Therefore, equity markets would only need to grow about 3% to give us the same earnings contribution from capital markets. Bottom line, we like the diversification, interplay and consistent growth provided by our capital market sources of earnings, and are confident in our ability to regularly deliver on our targeted earnings per share growth rate of 8% to 10%. Now, let me touch on our MoneyGuard product, which has been swept up into the broader discussions about traditional long-term care. The product is very different than traditional LTC, and it is important to understand our MoneyGuard product has capped benefits compared to unlimited lifetime benefits for many of the closed blocks of traditional LTC business. And the multi-benefit product design, including a death benefit, return of premium or limited long-term care benefits, creates a very different risk profile and can reduce policyholder behavior risk. MoneyGuard was also priced in an environment when the errors of earlier LTC providers were obvious and industry experience was much more reliable, and our assumptions reflect this. For example, our lapse rate assumptions are below 1%. We do not assume morbidity improvement and we expect mortality to improve. Nevertheless, we stress the in-force business on these key factors, as it is clear there are no balance sheet issues even when you combine multiple scenarios. Lastly, as we oftentimes do, we engaged a third-party, Milliman, a leading actuarial consulting firm in the LTC space to perform a general comparison of our key current pricing assumptions and product risk for Lincoln's MoneyGuard to those typical for traditional LTC products in the industry. Milliman confirmed our MoneyGuard assumptions are generally in line with or more conservative than current rational pricing assumptions being used for traditional LTC products when considering differences in design, and that MoneyGuard is better equipped to handle adverse experience than traditional LTC products. So the key takeaway here is that MoneyGuard is not like the closed block LTC businesses that are giving some companies headaches. Lastly, turning to the balance sheet. As we have demonstrated for years, the balance sheet is high quality and the businesses generate a significant amount of cash flow, allowing for active capital management. As you know, we temporarily paused buybacks to help fund a portion of the Liberty acquisition. However, with confidence in the Liberty integration and the strength of our balance sheet, we resumed share repurchases during the second quarter. We expect the pace of buybacks to increase in subsequent quarters. Our RBC ratio ended the quarter at approximately 460% and we now estimate the impact to year-end RBC from tax reform is approximately 40 percentage points, down from the prior guidance of 60 points. Changes to C1 factors remain very fluid and modifications won't be implemented until 2019 at the earliest. As a reminder, none of these outcomes are expected to affect our capital adequacy, and capital deployment will remain an important part of the Lincoln story. Overall, the investment portfolio remains in great shape, with below investment-grade assets representing just 4.1% of our fixed income portfolio, the lowest percentage in over a decade. This improvement is the result of proactive de-risking and favorable ratings migration, which positions us well if the credit environment turns. So, in closing, I am very pleased with the quarter and hope my broader comments give you more confidence in our strategic architecture and execution capabilities, growth potential in various capital market environments and balance sheet strength. I remain convinced our simple, clear, and straightforward business model is underappreciated, particularly relative to the competition, given our track record of financial success and consistent delivery of strong earnings results, as we saw again this quarter. I will now turn the call over to Randy.
Randal J. Freitag - Lincoln National Corp.: Thank you, Dennis. Last night, we reported adjusted income from operations of $454 million or $2.02 per share for the second quarter, a 9% increase from the prior year. Underlying trends were strong as all four businesses combined operating revenue growth with good expense management to generate double-digit earnings growth in each business. It is worth noting that variable investment income was $0.08 below long-term experience, with the vast majority related to lower returns on the alternatives investment portfolio. Returns this quarter were 5%, compared to 17% in the prior-year quarter. We do expect returns on alternatives to improve to our long-term experience of 10%. Touching on performance of key financial metrics in the quarter. Positive consolidated net flows and equity market strength led to a 7% increase in average account values, and operating revenues increased 12%. Expense discipline continues to be a good story as the net G&A expense ratio improved 30 basis points. Adjusted operating return on equity came in at 13.1%. Book value per share, excluding AOCI, grew 8%. Finally, our balance sheet and capital position continue to be strong, which enabled us to resume buybacks this quarter following the close of the Liberty acquisition. Net income totaled $385 million in the quarter, impacted by $40 million of net losses in the VA hedge program, $35 million of acquisition and integration expenses, and a $9 million gain related to investments. Now, I will turn to segment results, starting with Annuities. Reported earnings for the quarter were $275 million, up 10% from the prior year quarter. Earnings growth was driven by higher fee income from a 5% increase in average account values due to equity market strength over the past year more than offsetting negative net flows. As Dennis noted, we continue to make significant progress on our goal of returning to positive flows. This quarter's net outflows totaled just $126 million. When annualized, this represents a nearly 200-basis-point improvement in the organic growth rate compared to full-year 2017. Total operating revenue increased 3%, while G&A expenses decreased 8%. Return metrics remained strong with ROA at 81 basis points and an ROE of 22%. It is also worth highlighting that within the statistical supplement, we are now breaking out annuity earnings between variable and fixed annuities. While most of you are aware of the primary source of earnings for the annuity business is VA, we do make a significant amount of money from our fixed business. This quarter, fixed annuity earnings were $50 million, consistent with recent quarters. So, another very good quarter from the annuity business, with the highlight being the significant increase in annuity sales and net flows, which positions us well for net flows to turn positive and earnings momentum to continue. In Retirement Plan Services, we reported earnings of $43 million, compared to $37 million in the prior year. The earnings increase is attributable to the benefits of tax reform, growth in fee income, and expense management, partially offset by lower variable investment income. Total deposits in the quarter of $2.2 billion were up 12% from a year ago, driven by double-digit growth in both first-year sales and recurring deposits. Net flows totaled $499 million and marked the 10th consecutive quarter of positive flows. Over the trailing 12 months, net flows have totaled $1.8 billion, which, when combined with favorable equity markets, drove average account values to $69 billion, up 11%. G&A expenses, net of amounts capitalized, decreased 5%, resulting in an approximate 150-basis-point improvement in the expense ratio. Base spreads, excluding variable investment income, compressed 4 basis points versus the prior-year quarter, but the ROA was 25 basis points. So, a strong result for the Retirement business, highlighted by double-digit growth in deposits, net flows, assets, and earnings. Turning to our Life Insurance segment, earnings of $150 million increased from $133 million in the prior-year quarter, primarily attributable to the benefits of tax reform and expense management, partially offset by lower variable investment income. Total Life Insurance sales in the quarter of $162 million decreased 18%, as the prior-year quarter included accelerated MoneyGuard sales ahead of pricing adjustments. We expect sales momentum to increase in the second half of the year, as we have rolled out a number of new products in recent months. Earnings drivers remained solid for the quarter with average account balances up 6% and Life Insurance in-force up 4%. Revenues were up less than driver growth, driven by the weaker variable investment income I noted upfront. However, G&A expenses dropped 10%, which resulted in positive operating leverage. Base spreads, excluding variable investment income, were down 5 basis points year-over-year, while mortality experience was in line with expectations. So, a solid quarter for the Life business. With mortality typically more favorable in the second half of the year and steady driver growth in the mid-single-digit range, we are well-positioned for near- and a long-term earnings growth in the Life business. Group Protection reported $45 million in earnings compared to $35 million in the prior-year quarter, with the increase in earnings attributable to the acquisition of Liberty. My comments this morning will largely focus on reported results, though at times I will highlight specific metrics on the Lincoln block of business to better level-set results and enhance your analysis. Sales in the quarter increased 7%, driven by growth in the Disability and Life product lines. Non-medical earned premiums were up 71% from the prior-year quarter as a result of both the acquisition and continued momentum in key premium drivers, namely sales and persistency. The non-medical loss ratio increased to 73%, which merely reflects the impact from the acquisition. Overall risk results remained favorable, with Lincoln's loss ratio of 66.6% largely unchanged from the prior-year quarter, and Liberty's loss ratio coming in a couple points ahead of expectations. Bottom line, it was a very strong initial quarter for the newly-combined business. The after-tax margin of 5.3% is already within our 5% to 7% margin target and we are optimistic about our ability to exceed the targets highlighted when we announced the acquisition. Turning to capital and capital management. Statutory surplus stands at $9.1 billion and our RBC ratio ended the quarter at approximately 460%, consistent with the pro forma ratio highlighted when we announced the acquisition. Holding company cash came in above our $450 million target. Our strong capital and liquidity positions, combined with predictable cash flows, enabled us to return to the buyback marketplace shortly after closing Liberty. During the quarter, we repurchased $100 million of stock and expect to increase the pace of share repurchases in subsequent quarters at a level consistent with our free cash flow guidance. So, wrapping things up, another excellent quarter for Lincoln. Adjusted operating EPS increased 9% from the prior-year quarter. High-quality results, as all four businesses delivered revenue and double-digit earnings growth, even with alternative investment income running well below last year. Underwriting results in Group Protection and Life business were solid, while Annuity and RPS benefited from account value growth. Key shareholder metrics were strong as book value per share increased 8% and ROE exceeded 13%. Finally, we reinstated our buyback program and expect capital deployment to remain an important and consistent part of our story. With that, let me turn the call back over to Chris.
Christopher A. Giovanni - Lincoln National Corp.: Thank you, Dennis and Randy. We will now begin the question-and-answer portion of the call. As a reminder, we ask that you please limit yourself to one question and only one follow-up, and then re-queue if you have additional questions. With that, let me turn the call back over to Christie to begin Q&A.
Operator: Thank you. Our first question is from Erik Bass with Autonomous Research. Your line is open.
Erik James Bass - Autonomous Research US LP: Hi. Thank you. I was just hoping you could talk a bit more about where the Liberty acquisition is performing better than expected. And you mentioned potentially a greater opportunity for cost savings. So, if that plays out, would it mean that you need a less rate to kind of get the block to target margins or would you potentially get there more quickly than your initial guidance?
Dennis R. Glass - Lincoln National Corp.: We had a little hard time hearing that question, but if I can repeat it, I think you asked where is the Liberty acquisition performing better than expected? I didn't hear the end of that. But just to repeat what I said, let's first start with premium. The $1 billion premium expectation for the next quarter would be ahead of the amount that we had anticipated. And as I said, that's related to the fact that we're getting good pricing increases and that, on the Liberty block, the persistency remains where we expected it to be. The other points are that we think the integration costs, we're managing those closely. But as we've dug deeper into the cost structure of both organizations, we think we can squeeze more out of integration cost savings and that would come across a wide variety of business areas. So, to summarize, higher premium expectations because of repricing the program and persistency being better than we assumed and much more focused on upping our $100 million cost saving program. And I would say on that, when we convey $100 million cost saving programs in all the years that we've been doing acquisitions, generally expectation that we'll beat the numbers that we provided and have beat the numbers that we've provided over the years.
Erik James Bass - Autonomous Research US LP: Thank you. That's helpful. And then, on the expense savings, I guess the question was just if you are able to achieve more, it would seem then you'd need less rate than you initially expected to kind of get the block to target margins. So you might be able to get there faster than the guidance of kind of two full rate cycles. Is that a fair assumption?
Dennis R. Glass - Lincoln National Corp.: As a general comment, yes.
Erik James Bass - Autonomous Research US LP: Okay. And then just one follow-up on MoneyGuard, and I appreciate the additional disclosure there. You mentioned that adverse deviations and assumptions are an earnings risk, not a balance sheet issue. Can you just give us a sense of the impact on the IRR or profitability in a negative scenario?
Randal J. Freitag - Lincoln National Corp.: I think as we have talked about in the past, Erik, the impacts on returns in the MoneyGuard business is a very similar story to any potential sensitivities from changes and assumptions that we've demonstrated on the balance sheet today, and that they're much more muted. So, similar type of stresses typically have had about a 4% or so impact on returns in that line of business, much less than you would see in these older, traditional LTC books of business.
Erik James Bass - Autonomous Research US LP: Got it. And that's off of a starting point of an IRR of close to 20%?
Randal J. Freitag - Lincoln National Corp.: Right now, we're getting very strong returns on MoneyGuard business. Over time, we haven't always gotten very strong returns on the MoneyGuard business, but we've gotten good returns consistent with our 12% to 15% sort of range that we target for our businesses.
Erik James Bass - Autonomous Research US LP: Great. Thank you very much.
Randal J. Freitag - Lincoln National Corp.: You bet.
Operator: Thank you. Our next question is from Ryan Krueger of KBW. Your line is open.
Ryan Krueger - Keefe, Bruyette & Woods, Inc.: Hi. Thanks. Good morning. Could you talk about where you're seeing new money rates at this point? And then, I guess, I just wanted to clarify, I think you said a 3% 10-year would lead to actually a 1% benefit to annual earnings growth. So, does that suggest that, I guess, around current levels your new money rates are exceeding portfolio yields now?
Dennis R. Glass - Lincoln National Corp.: Let me answer specifically what we're getting on new money. In the first quarter, we got around 4.1% yield. And in the second quarter, we achieved a 4.3% yield. And this compares to our fixed income portfolio yield of 4.67% and 4.63%. So we'd have to see interest rates higher to meet the portfolio book yield. What we're referring to is, as you blend in the new money yields and the existing money yields get repaid, it comes together and stops spread compression. So it's a combination of the existing portfolio running off with higher rates as well as new money with better rates. But, in any event, the important point is that we saw 3% headwinds to our earnings over the last three years because of low interest rates. And looking forward, over the next three years, not a negative 3% but a positive 1% at the levels of interest rates that are in the market today, the 10-year roughly at 3%.
Ryan Krueger - Keefe, Bruyette & Woods, Inc.: Thanks. That's helpful. And then, Randy, I know you won't want to front-run the review, but do you have any high-level thoughts on certain key indicators ahead of the actuarial assumption review in the third quarter?
Randal J. Freitag - Lincoln National Corp.: No, Ryan, I don't. It's a similar story to what I said last year. I can't front-run the process. We're only one month into the third quarter when we do our review. My expectations are sort of very high-level and it's really based upon what Lincoln's experience has been over the many, many years. And that's that there's been pluses and minuses that by and large have added up to a good result, a result that we've been very proud of and a result that's differentiated us from the industry. I have no doubt, as we come into the third quarter, that there will be pluses and minuses, but at this point, I have no idea what they'll add up to.
Ryan Krueger - Keefe, Bruyette & Woods, Inc.: Okay. Thank you.
Operator: Thank you. Our next question is from Tom Gallagher with Evercore. Your line is open.
Thomas Gallagher - Evercore ISI: Good morning. Just a follow-up, first, on Erik's question on the earnings impact from MoneyGuard on the benefits utilization of the LTC rider. Randy, if there's up say, worst-case scenario, 25% to 30% pressure on those margins, just remind us or can you give some indication of what proportion MoneyGuard would represent of the Individual Life block? So, how material that could be if it did trend in the wrong direction? And then also can you comment on – I appreciate the sensitivity, but can you talk about what trends you're seeing now? Like, are you seeing modest adverse utilization, or just some perspective on that would be helpful too.
Randal J. Freitag - Lincoln National Corp.: Sure. As to what MoneyGuard represents in the business, I think can't get anything more specific than, if you look at MoneyGuard, it's $10 billion in reserves, and if you look at the Life business in total, it's about $50 billion of reserves. So, MoneyGuard represents roughly 20% of the in-force business in the Life business. So, that would give you one dimension. In terms of our current experience on assumptions, it's really very favorable. So, if we go over the different pieces, morbidity incidents has actually run better than our pricing expectation. So we currently run in the 90s, I believe, from an A-to-E on our morbidity experience. Mortality has run pretty much in line with our expectations and lapse rates also have been a very good story. I would remind you on these items, particularly the lapse rate, we started out from the very beginning with a very low lapse rate assumption, and so there hasn't been a need to move that. We started out with a morbidity assumption that does not include morbidity improvement, as Dennis mentioned. That's been a very favorable story. And we started out with a mortality improvement that actually includes mortality improvement. So, as oftentimes is the case with assumptions, it's about where you start. That's been a good story for Lincoln over the years, reference back to the annuity unlockings of the past. The final answer was predicated upon where we started, and I think it's the same result when you think about a product like MoneyGuard. The folks who have designed these products and priced these products over the years have done a very good job in thinking about the future. Something we benefited from is the fact that MoneyGuard is a more recent product, and so we've been able to leverage all of that experience that's been built up over the last 20 to 30 years, and we're benefiting from that. We benefit from that in our results, and that's what you see in what we've discussed today and what we've put in that slide deck.
Thomas Gallagher - Evercore ISI: That's helpful. So, bottom line on this is the utilization trends of your rider is not seeing any kind of read across similar trends that the primary LTC products are seeing, where obviously that's been developing negatively for several insurers. So you're actually seeing favorable development so far, anyway.
Randal J. Freitag - Lincoln National Corp.: 100% correct, Tom.
Thomas Gallagher - Evercore ISI: Okay. Thanks. And then just another topic. Are you able to quantify total hedging costs that are now flowing through your GAAP annuity earnings, whether that's basis points or dollars that we should be thinking about flowing through your GAAP operating earnings? Thanks.
Randal J. Freitag - Lincoln National Corp.: Tom, I think I'll reference you to sort of our pre-tax earnings break-out, where we do break out a VA rider component. Now, I don't have that page in front of me, so I'm going to a little bit from memory. But my recollection is they make up roughly 5% of Lincoln's overall pre-tax earnings. Once again, I'm forgetting the exact number, but it's probably about somewhere between 5% and 10% of overall annuity earnings.
Thomas Gallagher - Evercore ISI: So you're saying rider fees would be 5% to 10% of annuity earnings, or is that an approximation of just what hedge costs would be, 5% to 10% of total pre-tax annuity earnings?
Randal J. Freitag - Lincoln National Corp.: The difference – so remember how that we account for this. We have an expectation for what hedging costs will be over time, and we run that below the line. We then take the difference between the total fee we charge the consumer and that amount that we move below the line to cover the hedge program. And that's the amount that runs through operating income in the annuity business and, at the end of the day, through the total company. In total, that represents about 5%, 4.5% of our pre-tax income.
Thomas Gallagher - Evercore ISI: For the whole company? .
Randal J. Freitag - Lincoln National Corp.: For the whole company. And, yeah, I'd estimate 5% to 10% of the annuity business in total.
Thomas Gallagher - Evercore ISI: Okay. That's helpful. Thanks.
Randal J. Freitag - Lincoln National Corp.: You bet.
Operator: Thank you. Our next question is from Jimmy Bhullar of JPMorgan. Your line is open.
Jamminder Singh Bhullar - JPMorgan Securities LLC: Hi. I think the rider fees are on page 7, FYI. But I had a question on buybacks. You've mentioned a couple of times that you expect buybacks to accelerate in the second half. How should we think about what percent of your operating income you would deploy towards buybacks and dividends? I think you were doing roughly $200 million in buybacks before the Liberty deal. Should you get to a similar pace or how do we think about sort of deployable capital now that the deal is closed?
Randal J. Freitag - Lincoln National Corp.: Hey, Jimmy. I'd remind you that, with tax reform, we shifted the way we've been discussing this more to a dollar amount. And, as we've talked about in the past, I'd expect, on an annual basis, $850 million to $950 million of deployment. Now, if you do the math, our current shareholder dividends are roughly $275 million a year or so. So, if you just back that off in the $850 million to $950 million, you'd end up with a range of $575 million to $675 million. So, a midpoint in there is roughly $150 million a quarter. So, that's sort of the math of what we tell you. And I would remind you that that is exactly the same number we have been telling you for about the last four years. And then, when I'm answering these questions, I have always said and I will continue to say, we do everything we can to outperform and that's what we'll do again. So we come into that back half of the year with that guidance, which implies a number of roughly $150 million and then we'll do everything we can to overachieve.
Jamminder Singh Bhullar - JPMorgan Securities LLC: And that guidance, it takes into account any changes in (42:50) and/or like the impact of tax reform on the RBC?
Randal J. Freitag - Lincoln National Corp.: Takes in all of those impacts.
Jamminder Singh Bhullar - JPMorgan Securities LLC: Okay. And then, on the annuity business, your sales were actually pretty strong. To what extent did the level advantage – the buffer annuity that you introduced in the quarter, to what extent did that contribute to your expectations for that product, given that a number of your competitors have actually shown pretty strong growth?
Dennis R. Glass - Lincoln National Corp.: Jimmy, we just put that product into the market a couple of weeks ago, and we're getting excellent response. But in this quarter, because it came in late, you got to establish the relationships. It's only about $20 million, the total. But we expect this to be a big contributor for growth as we move forward.
Jamminder Singh Bhullar - JPMorgan Securities LLC: Okay. Thanks.
Operator: Thank you. Our next question is from Humphrey Lee with Dowling & Partners. Your line is open.
Humphrey Hung Fai Lee - Dowling & Partners Securities LLC: Good morning, and thank you for taking my questions. Just to follow a little bit more back on Group Protection. So, clearly, the 5.3% this quarter was really good and I think you talked about the risk experientials a little favorable. But then you have premiums kind of coming into the third quarter should be another uplift along with potential cost savings. So, in terms of thinking about the 5.3% this quarter, is that a reasonable starting point going forward as you talked about potentially exceeding your margin target?
Randal J. Freitag - Lincoln National Corp.: Hey, Humphrey, it's Randy. Thanks for the question. So I think we had a very good quarter in the Group business. If you go back to the initial guidance we gave back when we announced the acquisition, we had an expectation that in 2020 we would get to about a 5.5% margin. That's my recollection. So, with this quarter, we essentially got to what we thought in 2020. We had very good experience, as you mentioned, this quarter. Will great experience continue? It's been with us for a while, probably linked to the strong economy. But it could bounce around. You're right, expense savings will continue to feather into the results. So we feel very good about both the quarter and, as Dennis said, our ability to outperform that 5.5% number we put out there for 2020. And I won't speak to quarter-to-quarter because you can get volatility in this business. But, once again, we're very comfortable with our ability to outperform the original expectations we had for this business.
Humphrey Hung Fai Lee - Dowling & Partners Securities LLC: Got it. And then, maybe just a question in terms of the pricing philosophy. So you've talked about repricing is probably better than your expectation, while persistency continues to be good for the block. And then, expenses, there could be some potential upside in terms of what you can achieve from a cost savings perspective. So, in that case, like, would you like still target the same level of rate increase that you had in your plan? Or would you willing to give up some of the price increase, given the margin being subsidized by the better cost savings?
Dennis R. Glass - Lincoln National Corp.: I think we're going to try to maximize all of those things to get the best possible result for both our customers as well as our shareholders. And as you, Humphrey, can imagine, all of those things interplay with sales and persistency. So we're going to continue to use all the levers that we can to get the best results that we can.
Humphrey Hung Fai Lee - Dowling & Partners Securities LLC: Got it. Appreciate that. Thanks.
Operator: Thank you. Our next question is from Alex Scott with Goldman Sachs. Your line is open.
Alex Scott - Goldman Sachs & Co. LLC: Hi. Good morning. First question I had was just on cash flows and annuities, and I guess more specifically, variable annuities. And one of the things I've struggled with anyway has been sort of comparing your block relative to peers. And so I was wondering if you could help me think about, if I separate the total asset requirement and sort of the assets back in the book, how much cash flow in a base case would you expect from the back book of variable annuities?
Randal J. Freitag - Lincoln National Corp.: Alex, without getting specific, let's just talk about the facts. We have one of the highest returning annuity businesses in the industry, bar none. The earnings power of this business, remember, a return in this business well over 20% and it's been that way for a long time, translates directly over to expected cash flows out of the business, I would expect also. So we capitalize our business very strongly. We've talked about that. We have a two-pronged approach, the greater of CET 98 and a minimum floor amount of capital. We have great product design and we have a great hedge program that's all led to this very strong return business, which translates into a business that spits off cash. We don't get into talking about this business is that or that business is that. We roll it up. And we talked about $850 million to $950 million of deployable capital over time. It's been a very strong story for a number of years and I'd expect it to be a strong story going forward.
Alex Scott - Goldman Sachs & Co. LLC: Okay. Understood. And then, just on net flows and annuities, can you help me think about what you've been doing on sort of expanding the wholesaler network? How deep into the process are you? Like, how much of that work is sort of already reflected in the sales results from this quarter, as opposed to sort of maybe upside as you continue to roll it out?
Dennis R. Glass - Lincoln National Corp.: Yeah. We've increased our annuity wholesaler head count by about 11% since 2017. So we're up in the neighborhood of 216. Still planning to add more. As I mentioned, we still can't say the name. We have a very large new distribution partner coming on in the third quarter. So we'll have to staff up for that, not just on the annuity business, but some of the other products as well. So, staff overall, the client-facing head count at Lincoln is up 9% since the prior quarter, and this relates to adding shelf space and distribution partners and a little bit of specialty focus on some of the products.
Alex Scott - Goldman Sachs & Co. LLC: All right. Thanks.
Dennis R. Glass - Lincoln National Corp.: Thanks, Alex.
Operator: Thank you. Our next question is from Jay Cohen with Bank of America Merrill Lynch. Your line is open.
Jay A. Cohen - Bank of America Merrill Lynch: Yeah. A couple of questions. I guess, first, maybe just to follow up on Tom Gallagher's question on the sensitivity analysis that you showed for MoneyGuard. I'm trying to get a sense of how extreme those scenarios are. They seem pretty extreme, but have there been ever time periods where you came even close to hitting those sort of sensitivities that you outlined in the slide deck?
Dennis R. Glass - Lincoln National Corp.: No. As I mentioned earlier, Jay – and thanks for the question, by the way. I would agree with you. Those are very extreme scenarios, speaks to what MoneyGuard is. It's a product with these benefits that offset each other. It's a product where the one thing we know when we price it is that we're going to pay a benefit. That's very important in driving the muted sensitivity of the reserves and also in driving favorable policyholder behavior. But, no, we've never seen 0% lapse rates. I don't think we'll ever see 0% lapse rates. We have very low lapse rates, and we price for and assume that in our product. As I mentioned, morbidity is and always has run better than our expectations. And we've never seen mortality run 25% better than our assumptions. So, could have said a short answer, but it's no.
Jay A. Cohen - Bank of America Merrill Lynch: Got it. Thank you. The other question on annuity net flows, obviously you want to move that towards the positive territory relatively soon. What about specifically on the variable side? Could that be positive over the next couple years?
Dennis R. Glass - Lincoln National Corp.: Yeah, we think so.
Jay A. Cohen - Bank of America Merrill Lynch: Okay. Great. Thanks.
Operator: Thank you. Our next question is from Suneet Kamath of Citi. Your line is open.
Suneet Kamath - Citigroup Global Markets, Inc.: Thanks. Just wanted to touch on the VII commentary. I think you had said alternative returns were about half of what you normally expect. So, anything unusual in terms of what drove the weakness this quarter? And then seems like you're still confident in the 10%. Is that something that we could see recover in the back half of 2018?
Dennis R. Glass - Lincoln National Corp.: The answer to your last question is our expectation is that we will achieve or better our expected return of 10% on this portfolio in the course of 2018. These are generally not investments that are correlated to equity markets completely at all, but there's some correlation to equity markets. So our expectation is that we'll get to, for the full year, our targeted returns. We've achieved better than that over the last couple of years. We have some view into specific investments that could help us get there, but it's a number that moves around. But to answer your question and be clear, as we sit here today trying to anticipate what's going to happen over the course of the next six months from a macroeconomic perspective and a investment-by-investment perspective, we expect to get back to our targets, if not above.
Suneet Kamath - Citigroup Global Markets, Inc.: Got it. And then, I guess on the MoneyGuard slide, in particular the Milliman study, I just note the commentary about your assumptions being more conservative than current rational pricing assumptions. As we think about those three key assumptions, morbidity, mortality and lapse rates, any color on where the industry is the least rational across those three?
Dennis R. Glass - Lincoln National Corp.: No, but we used rational to convey that we weren't just taking the average. So, as I discussed, the average, if you included morbidity improvements, would be higher, and we just don't have any morbidity improvements. And we saw today I guess or yesterday, that could be a significant hit if you had assumed that. So I would just say that, with the help of Milliman but based on our own confidence and the experience that we have, that we're equal to or better than rational assumptions in the marketplace.
Suneet Kamath - Citigroup Global Markets, Inc.: Got it. And then just one last one for Randy. I think we had another Oliver Wyman update since we last spoke. Anything changed there in terms of how you're thinking about what VA capital and reserve requirements might look like?
Randal J. Freitag - Lincoln National Corp.: No, Suneet. We are very comfortable. We've been an active participant, working with Oliver Wyman, working with the regulators to get to a solution that improves the result for both regulators and the industry. I think we've done that in that we've ended up with an outcome that is closer to the economics of these products, and I think that's a very good thing for the long-term. In terms of the bits and pieces of the final result, feel very good that I think there's a better alignment between the capital calculation and the reserve calculation, feel very good that the standard scenario has been made more of a remote event, feel very good that we've ended up with hedge accounting associated with the derivatives, especially the interest rate derivatives. Are there some items in a perfect world that would be a little different? Yeah. I think some of the standard scenario assumptions are still a little conservative. I think there's some other conservatism in the result. But, in total, working with regulators, working with Oliver Wyman, who the regulators employed to do this work, we feel really good about where we ended up.
Suneet Kamath - Citigroup Global Markets, Inc.: Perfect. Thanks, Randy. Thanks, Dennis.
Operator: Thank you. Our next question is from John Nadel of UBS. Your line is open.
John Nadel - UBS Securities LLC: Hey. Thanks for sneaking me in before the top of the hour. Just a follow-up on Tom's question earlier, and I'm looking at page 7 of the supplement. Is it fair for us to think about it rather simplistically this way, Randy? If you are showing us a positive contribution to operating income from the VA riders, like you have each of at least in the last five quarters, and I think it's actually much longer than that, then the below-the-line cost of hedging is effectively 100% covered by the rider fee that's allocated below the line?
Randal J. Freitag - Lincoln National Corp.: So, John, let's talk about what we've experienced over the years. We have reported a operating return in the annuity business of 20% or a little above. Historically, below the line, we've had breakage that would take in between 1 and 2 points off of that, so 5% to 10% of the bottom-line result. So, that translates to roughly $15 million to $20 million or so of sort of expected breakage below the line. We price for that. It has to do with whether it's fund basis or some of the various items that you have in running the hedge program. But that's sort of the expectation. That's what we've experienced pretty steadily over the years. Our result, whether you look at the operating result or whether you incorporate any breakage, has been very, very consistent over the years, running pretty Steady Eddie over the years. So, that's what I'd expect, John.
John Nadel - UBS Securities LLC: Yeah.
Randal J. Freitag - Lincoln National Corp.: It's been a great result and I have no doubt that it will stay great going forward.
John Nadel - UBS Securities LLC: I just want to make sure that it's not just a matter of semantics, or terminology is probably the better word. Breakage is not necessarily, though, the same as the outright hedge costs, right?
Randal J. Freitag - Lincoln National Corp.: No.
John Nadel - UBS Securities LLC: And the hedge cost is being funded by the rider fees.
Randal J. Freitag - Lincoln National Corp.: Correct.
John Nadel - UBS Securities LLC: Okay. And so you've got a net flight, right, earnings contribution from rider fees and that's just the excess of the rider fees above the actual cost of hedging, correct?
Randal J. Freitag - Lincoln National Corp.: Yes. We have rider fees...
John Nadel - UBS Securities LLC: Okay.
Randal J. Freitag - Lincoln National Corp.: ...that come in above the cost of hedging.
John Nadel - UBS Securities LLC: Yeah. Okay. So, to the extent that your VA rider fees weren't sufficient to cover the cost of hedging, we would see that in a higher, if you will, below-the-line loss?
Randal J. Freitag - Lincoln National Corp.: Yes.
John Nadel - UBS Securities LLC: Okay.
Randal J. Freitag - Lincoln National Corp.: No, let's go over the period of time. There will be moments of time when the daily cost of hedging or the weekly cost of hedging may exceed the amount we're charging, but...
John Nadel - UBS Securities LLC: Yeah.
Randal J. Freitag - Lincoln National Corp.: ...you know how we view this stuff. We view this stuff over a period of time. And if we see persistent or changes that we expect to persist in the future, then we go and we change the pricing of the product. Go back to pre-crisis, the cost of these benefits was 65 basis points, and the cost today is about twice that.
John Nadel - UBS Securities LLC: Yeah. Okay. That's really helpful. Thank you. And then lastly, real quick, fixed annuity sales were very strong this quarter, nearly $900 million. I'm assuming the vast majority of that, if not all of that, is indexed annuities.
Randal J. Freitag - Lincoln National Corp.: Yeah.
John Nadel - UBS Securities LLC: Maybe you can, one, just confirm that. And then two is how much of that came through the Athene relationship? And does this represent just your proportional share of that or is it a gross amount?
Dennis R. Glass - Lincoln National Corp.: It's one-half.
John Nadel - UBS Securities LLC: Okay. And was it the predominant driver of that almost $900 million of sales?
Dennis R. Glass - Lincoln National Corp.: No. Our new products, the Athene was about 50% of our fixed annuity sales this quarter, 48%, in that area. A lot of the fixed annuity sales came through new bank relationships as well, and this new IMO relationship that we talked about.
John Nadel - UBS Securities LLC: Great. Thank you so much.
Operator: Thank you. Our next question is from Marvin Schwartz of Neuberger Berman. Your line is open.
Marvin Charles Schwartz - Neuberger Berman BD LLC: I'm not sure if I'm making a statement or asking a question, but as a management team, you have all clearly done an absolutely first-rate job in overseeing the growth of the operations of the company, and you have done it in a quality way, and you have done it in a relatively risk reduction kind of manner. Notwithstanding that, you do not get very much respect in the stock market. Even today, you came out with perfectly fine results, and your stock is under a lot of pressure. Now, I believe, and I don't think anyone would disagree with this, you're going to end up this year with a book value of about $68 a share, and that excludes AOCI. And a year from December, December 2019, that should grow to $75 or $76, and the following year it grows to $84 a share. And your stock is selling at about 7.0 times a consensus $9.20 per share estimate for next year and 6.4 times a consensus $10.20 per share for 2020. In view of that, I really think it's time for you to have a serious (1:03:43) amongst your top-level management. And notwithstanding that you've had a certain share buyback pattern for the last four years, as you mentioned earlier, I think you should be buying back a substantially greater amount of stock than you're buying. I think A.M. Best would not disagree with a step-up or meaningful increase in the amount of stock that you might like to buy back. I think that they would go along with it. I mean, obviously, if they didn't go along with it, you certainly wouldn't do it because you have to protect the credit ratings of the company at all costs. But I really think it's time for you to review the commitment that you have to share buyback, and I think that it should be dramatically improved.
Randal J. Freitag - Lincoln National Corp.: Marvin, thanks for the comments. By the way, we agree with many of your assessments. It's one of the reasons we pushed to get back into the market after the close of Liberty. You saw that with $100 million of buyback this quarter. It's why we're committed to growing that number in the last half of the year. As you mentioned, in the end, we are a rating-sensitive business. So we do have to take that into account, but I also agree that we have a strong balance sheet and we're going to do everything we can to buy back what we believe is an undervalued piece of stock. Now, we have had a (1:05:28) over the years to investing in our equity. That's led to a reduction in our share count over the last six years of about 33%, about a third. We've done that at an average price of about $40. So it's been a great investment. We agree with you. We're going to continue to invest in our equity. And we hear you, Marvin. Thank you.
Marvin Charles Schwartz - Neuberger Berman BD LLC: Okay. Thank you very much. Appreciate it.
Operator: Thank you. And that does conclude our Q&A session for today. If we did not take your question, we will follow up with you later this afternoon. I would now like to turn the call back over to Chris Giovanni for any further remarks.
Christopher A. Giovanni - Lincoln National Corp.: Thank you for joining us this morning. Apologies on running a little bit over there. But, we're around, if you have any questions, 800-237-2920, or via email, investorrelations@lfg.com. Thank you all, and have a good day.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude today's program. And you may all disconnect. Everyone have a great day.